Operator: Good day, and welcome to the SKYX Platforms Corp. Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. Before we begin, I would like to remind everyone that today's call may contain forward-looking statements within the meaning of the Private Securities Litigation Reforms Act of 1995. These statements are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. For more details, please refer to our Form 10-Q for the quarter ended September 30, 2025, and other filings with the SEC. SKYX undertakes no obligation to update forward-looking statements, except as required by law. I would now like to turn the conference over to Rani Cohen, Founder and Executive Chairman. Please go ahead.
Ran Kohen: Thank you. Welcome to our third quarter conference call. We will start today. We have some significant things that are happening for us recently, and we're happy to be and share some of them with more emphasis. And we -- I will pass it to Steve Schmidt, our CEO -- President, excuse me; Lenny, our CEO; Steve Schmidt, our President, Former CEO, I should say, for Nielsen Data Corporation. Thank you, and please, Steve.
Steven Schmidt: All right. Rani, thank you very, very much. It's great to be with you here this afternoon. I also want to welcome you to our third quarter earnings call. As you're going to hear today, we are making significant progress, and I'd like to emphasize that there is more significant things to come on several fronts in the very near future. We reported record revenue of $24 million in the third quarter 2025 compared to $23 million for the second quarter 2025 as we continue to grow our market penetration. Our revenues have now increased for 7 consecutive quarters from Q1 '24 through Q3 of '25. We've signed an agreement with a prominent U.S. and international real estate developers, Global Ventures Group to deploy our advanced smart home technologies to buildings and hotels in Middle East projects, including Saudi Arabia and Egypt. We expect to deploy hundreds of thousands of units to tens of thousands of homes and hotel rooms to Middle East projects, including Saudi Arabia and Egypt. This is another major step for us as we anticipate more to come in the Real Estate segment. We will be supplying our technologies to a 278-apartment project in Austin, Texas, built by prominent developers, landmark companies, providing over 10,000 units of our advanced and Smart Plug & Play technologies. Again, another major prominent development group, and again, we anticipate more to come. As previously shared, we have established a major collaboration with a Miami $3 billion mix-use Urban Smart Home City project. We expect to supply over 500,000 units of our advanced Smart Home Plug & Play platform technologies for the entire Smart City project. After our successful demonstration of our technologies during a recent Marriott hotel renovation, we expect to significantly expand our hotel segment. We hope to share more information about our hotel channel expansion in the very near future. We can continue to grow by developing over 50,000 of our products into homes and units by the end of Q4 2025 through Retail and Pro segments. It's important to emphasize that our technologies expansion provides additional opportunities for future recurring revenues through interchangeability, upgrades, AI services, monitoring, subscriptions and data. As former CEO of AC Nielsen, I understand the importance of data and the revenue opportunity associated with it. [indiscernible] Mustafa, former Head of Microsoft AI, will be shortly expanding on this significant opportunity. Regarding our Safety Code Standardization, our team continues to make progress and is receiving significant support from a prominent leader with its government safety organization process for safety mandatory standardization in homes and buildings of our ceiling outlet and receptacle technology. We are confident with the recent progress that our team is making with our mandatory application for our ceiling receptacle. On the product front, we expect to launch our patented Advanced & Smart Turbo heater fan and variety of Plug & Play ceiling fans during this month. We anticipate it will be a major step towards our positive cash goal. In the area of AI, a significant development is our upcoming launch of a new AI-driven software for our e-commerce platform of 60 websites expected to increase our conversion rate in sales by 30%. The AI native e-commerce platform designed to elevate B2B and B2C experiences through our innovative and smart product line. In the area of cash, as of September 30, 2025, we reported a total of $13 million in cash, cash equivalents, restricted cash and receivables. And the company has recently raised $5 million in additional capital from 2 of our leading shareholders. This is another proof of confidence from our lead investors and in continuation of our path of raising funds from strategic long-term investors and shareholders as well as from insiders, including myself. Before I pass it to Lenny Sokolow, our CEO, I'd like to emphasize again, like I did in our last call, that we are making significant progress and are working on additional significant business opportunities, and we hope to be able to share a significant amount of this more in the very, very near future. So with that, let me turn the call over to Lenny Sokolow, our CEO. Lenny? Just pass it to Lenny and Lenny Sokolow is going to talk now our CEO. Afterwards, I'm going to talk, and last but not least, we have with us today, Khadija Mustafa, the former Head of AI for Microsoft and also that has a relationship with the G42 Emirates well-known global AI and development firm. So please, Lenny.
Leonard Sokolow: Great. Thank you, Rani, very much, and thank you, Steve, for that update. Just to reiterate is that -- what we've reported is a year-to-year and sequential growth. I mean this is a material for us, and it's a very positive trend that -- our expectation is that we're able to continue. In addition to the $5 million that in terms of recently raised capital, again, it's important to understand these are from 2 leading shareholders of ours. And of even greater importance is the fact that these were reflected in notes approximating $11 million, and they're now have been restructured and coming due with a maturity date out 5 years to 2030. It's very reflective of their understanding of where we are, their belief in what we have and their confidence in our strategy and our development. So -- and I think that will be reflected as we'll see in this quarter's disclosures coming into the end of the year. The -- we continue to use our -- and leverage our cash position through the e-commerce platform of our 60 websites among other methods, including the support from leading strategic investors and insiders. And of interesting note is that we have a growth we're showing in our deferred revenue, which is our revenues that are of sold product primarily from our websites that are in transit for a day or 2 until the customer receives that. That growth is showing an acceleration of our revenues primarily from our e-commerce platform. So the -- as common with a company such as ours when we have sales that are converted into cash rapidly, this is often referred to as the Dell Working Capital model. We leverage our trades payable to finance our operations and to enhance our cash position in effect, lowering our cost of capital through the support of our vendors. This is -- this opportunity and this structure is one that we've rolled into some of our key manufacturing partners that can give us the same mechanics of the Dell Working Capital model to help finance our purchases and support our inventory needs. So I think it's important to understand that we're very focused on multiple levels with respect to cash leverage and cash conservation. The gross profit for the third quarter ending in September 30 increased sequentially by 8% to $8 million compared to $7 million in the second quarter ending June 30, 2025. And this also concurrent with this is the fact that we had a small decrease in our cash from operating expenses that we've used. So this is -- we're not generating additional expenses as we generate more gross profit. And the gross margin for the third quarter ending September 30, 2025, increased sequentially by 4% to 32% compared to 30% in the second quarter ending June 30, 2025. And our net loss per share decreased by $0.01 to $0.07 per share in the third quarter as compared to $0.08 in the second quarter. Adjusted EBITDA loss per share, a non-GAAP measure, remained at $0.02 per share in the third quarter as compared to $0.02 per share in the second quarter of 2025. So we're showing a small decrease in our EBITDA loss, which is a good indicator, positive indicator for us. So with that, I like to pass it on to Rani, if you want to go ahead?
Ran Kohen: Yes. Thank you, Steve and Lenny to give [indiscernible] here. Again, to emphasize some of the things that Steve mentioned, we're experiencing great progress with developers starting with the Smart City and projects prior to that in Miami and went with the project in Austin from another prominent developer, Landmark. And now the collaboration and a signing agreement with Global Ventures that are major and prominent developers that are expanding towards the Middle East, including Saudi, Arabia and Egypt. And we're optimistic about the future towards those regions and others that we hope down the road that we'll be able to share with you. Also, we are experiencing, as Steve mentioned, after our Marriott demo, a successful demo that we shared the video online, it's still there somehow, but this is -- this opens some doors for some significant business that we believe will happen. And we hope, as Steve mentioned, to announce it sooner than later, but we're working and we expect to open some more doors towards those channels. Also, when we are supplying to the Builder and the Hotel segment, as Lenny mentioned, we're leveraging our relationships with the manufacturers that want to join our ride here and participate in places like the Smart City in Miami or the buildings we're doing here in the U.S. or hopefully the Hotel segment as well as the Global segment in the Middle East, and we're leveraging that to get funding from them. So that's another way we're leveraging what we're doing and the penetration we have, thanks to our technology that opens doors with builders, with hotels and other projects internationally. And vendors do want to participate with us and are helping us here to fund it. And as Lenny calls it the Dell Model and the concept is that we are supplying, getting paid and pay the vendors after. So that's quite significant when it comes to continuing managing our cash flow here. And last but not least, before I move it on to Khadija Mustafa, the former Head of AI for Microsoft and also former Global Head of Sales for Microsoft is that, as Steve mentioned, we're making progress with the mandatory. We see some significant steps that are taken behind the scenes, and we hope that we're getting closer to that day. There's people -- to remind everyone, people are dying, people -- many injuries, many fires, significant number of ladder falls and everything here on a daily basis and our products can prevent most, if not all of these. And I think we're getting some attention from very high levels, and we hope that we will be able to share more in the near future. So with that, I'll pass it to Khadija Mustafa. Please, Khadija.
Khadija Mustafa: Thank you, Rani. Delighted to be here. So I think as you've already heard from the team, SKYX is gaining solid traction and expanding very fast. So everything from Miami Smart City initiative all the way to the partnership with Global Ventures, that's opening doors for projects in Saudi Arabia, Egypt and sort of expanding into other parts of the Middle East. I just wanted to sort of call that out and mention that it's not just about growth, it's about progression towards really going into the global space and scaling out. And that's so important because if you look at what's happening in Saudi alone, if I take that as an example, I'm sure you've been watching the pace of innovation is extraordinary. Every sector there is rethinking itself, adopting advanced next-generation technologies to leapfrog what the rest of the world has done or is doing. So they've got a lot -- they have very big appetite. So -- and that's just one country out of the different areas where SKYX is expanding. So this is where SKYX fits perfectly. And when you combine that also with the population and urbanization trend that's happening across emerging markets, getting in now means that SKYX is going to be helping set the foundation for how people are going to live and work in the years ahead and also the decades ahead, which is very important. Now just for me personally, having had a front row seat in the tech industry for 27 years, there are a few observations that have sort of made me even more excited about the opportunity and how SKYX is well positioned. There isn't a single company that's yet unified the smart home or, call it, smart building space. It's still fragmented. There's sort of a long tail of devices and ecosystems across different tech companies as well as lots of sort of unbranded technologies that don't seamlessly talk to each other. And this is where SKYX has the potential to change that by starting where others have been less focused or not focused because if you think about the tech world, right, they're thinking about technology. But what SKYX is doing is it's thinking about the integrated physical layer, which is going to enable the technology. So through its standardized all-in-one smart ceiling platform, SKYX is really creating the infrastructure that can connect everything else. And again, this is what makes it so strategic because it completes the ecosystem, not only for the sort of mega cap big tech companies, but also for the next wave of start-ups driving smart space innovation. And sort of right now, I think everyone is scrambling and getting in because we have this opportunity to really drive a lot of innovation with AI. So whether it's innovators, like I said, big or small companies, there's an opportunity to build an entirely new AI-driven set of services. And we all know that AI integration, AI incorporation is pretty much the focus of every organization and government on earth, not to talk of all the individuals in the mix who are trying to figure out how they can sort of rescale and really take the power of this technology and apply it to everything they're doing. So just to give a few examples, obviously, I think SKYX's opportunity is much greater. But think about adaptive lighting that response to presence and mood, predictive safety systems, Rani just talked about, unfortunately, people have big safety issues in the space, but predictive safety systems that detect electrical or environmental issues before they become hazards. I'm sure you've all been watching those -- the pollution issues that are happening in a lot of cities, real-time energy optimization tied to grid demand. Think about wellness and productivity insights drawn from the spaces we occupy every day. So I'd like to think of this in terms of sockets or nodes of intelligence. So the first was the smartphone. It was connecting the individual. So much of that data is now being used for all these smart services. The second is the car. I mean, it's connecting mobility. And in fact, we haven't even mastered the car space, but it's happening. But now SKYX is defining the third socket or the third node. And this is about the spaces where we live and work, turning them into these active intelligent nodes in the broader connected ecosystem. So Steve mentioned this incredibly rich source of data. Now what makes us even more significant is that it's not just about the home, right? Because smart home is definitely a key place. It's transformative in its own way. But it's about every kind of built environment. So the team was talking about hotels, hospitals, offices, retail spaces, you name it, the list goes on. So each of those becomes a new opportunity for SKYX's platform to enable a wide array of AI-powered services and capabilities, again, at scale and globally. And this is an opportunity both for SKYX to build on it, but the entire ecosystem is going to want to get on to the bandwagon leveraging that information and then creating their own set of services.
Ran Kohen: Great. Khadija, thank you so much. That is well needed here because we're getting a lot of questions and our expansion and what type of products we bring, and we put it usually as a general title of AI services and AI ecosystem, but I think you brought a lot of color here. So we want to thank you very much for this. And before we move to Q&A, I would like also to emphasize one of Steve's points here. We're getting very close to launch our heater fan, Turbo heater fan and ceiling fans Plug & Play. And we anticipate that, that's going to bring us here to -- very close to our goal here very soon of cash positive. So we're looking forward to launch those products really in the next coming weeks now. It's all in production. It's all in enroute near. So we hope to have some announcements on this as well very soon. So thank you again Khadija and team, and then we'll take some Q&A here. Barry?
Barry Sine: Can you hear me?
Ran Kohen: Yes.
Barry Sine: Okay. A couple of questions, trying to get a better sense of the near-term revenue outlook, if you don't mind. So you mentioned that you expect to deploy over 50,000 of your products by the end of Q4. I assume that's the total unit sales in the fourth quarter. And if so, how does that compare to 3Q? And what kind of average selling price might we be thinking of? I assume that's expensive lighting fixtures, just simple sky plugs. Can you give me a little more color on that number?
Ran Kohen: I'll give you more color to that segment or that question in a way is to remind everyone, we always emphasize our Razor & Blade model where our razor is a ceiling receptacle that opens the door for a simple fixture that can cost $50 or for a fancy fixture that can cost $500 or $1,000 or as Khadija mentioned, to our future all-in-one smart platform. So you do not -- we can't anticipate exactly what consumers will put in when they buy the receptacles. And our growth is with the number of units, we anticipate, correct, to be approximately 50,000 by the end of this year. But our mix is more as we get to the market, for example, we are in lighting chandelier for a while. We started wall sconces. We're starting now downlights and recess lights, and we will start ceiling fans and the heater fan this quarter. And those are revenue makers, a higher ticket per item. So once we land them, we will have a better picture, but we think that as we land those significant items here, and we expect to have a variety of Plug & Play ceiling fans and a variety of the heater fan in several colors, and we anticipate and we hope to get them to several places that we're working on now, and we'll let everyone know once we launch in each segment in each channel as well. So the big picture is -- and also we are actually landing soon the EXIT signs, emergency lights, they are supposed to land very soon. So together with our Turbo heater fan and the Plug & Play and the more we add products into the mix and the smart products that are going to come here, I think that the razors are going to start accepting their blades and the blades, the more we have variety and higher ticket items, the revenues should improve. We also, as you all know, and we announced that we're working on a unique software that we're working to launch in our websites that we believe will increase our conversion rate and sales overall. So we're optimistic for the future. We just want to try to be careful with what we say on numbers. But as you can see from our press releases, and we do everything we say we will, and we're landing products step by step, and we anticipate that the numbers will come as we land more and more products.
Barry Sine: And if I can follow up, please. You just mentioned the software upgrade in the website. Maybe you could talk a little bit more exactly what you're doing? How do you increase revenue by 30% with the software upgrade? That sounds like a great upgrade. And more importantly, when might we see that the effects on revenue, my sense is that's probably a product or an upgrade that goes through to early 2026. So it's not an immediate. It's not like fourth quarter is going to be up 30%. What are you doing more specifically? And when would investors see the results of that upgrade?
Ran Kohen: So we're in the process of merging the software in, and we're very careful as we're merging in because we want to be secured with what we're selling today and not rush it. And we expect to have it hopefully done by Q1 or latest Q2 of 2026. And once fully merged in combination with the new products we have, we do anticipate to increase conversion rate by all kinds of AI methods to -- that have better, if we say, radars on how -- what type of consumers are better chances for them to -- for us to convert them and bring them more to our website as well as a better experience overall in the website itself. But those softwares are quite sophisticated. And with the AI today, there's many tools and especially when you have unique products, you have a better chance to drive people into your website because of your uniqueness. So it's a combination of all. Our e-commerce team is led by Huey Long, former Amazon that worked with Bezos and actually created the brand Basics and him and his team and together with our Executive Chairman, Todd Johnson, that is an extremely capable person in the e-commerce arena, we are working with some key engineers that joined our company to maximize that potential. And the softwares that were good 5 years ago, 10 years ago are nothing to compare to the type of software you have today, and that merge is expected to really take us to the next level of e-commerce.
Barry Sine: Okay. And my next question, you guys have announced...
Ran Kohen: One thing we're going to also emphasize, I'm sorry, to answer your question complete is we're -- as we stated, we're going to have focus on the B2B segment and the Pro segment that are currently through our website are not -- most of the stuff we do today is direct to builders as we -- on the B2B segment. But today, we feel and see that even the Pro and Builder segment are joining more online and that's an additional factor that we're focusing on.
Barry Sine: Okay. And my next question, you guys have announced so many customer announcements, builders and so on in so many different places, Saudi Arabia, Egypt, Miami, Marriott Hotel. Which of those -- it looks like the Marriott Hotel is done from the videos. The Miami project looks like it's still getting permit approvals. Which of those are currently shipping and which of those are yet to come?
Ran Kohen: So we are -- the Marriott demo was an important demo to showcase and to open the door to much more business that we hope we will be able to expand soon. We have some local projects that we're supplying. We're starting to supply very soon to Austin, Texas as well as some projects here in Florida. And we believe the smart city in Miami and the Saudi are more next year to start supplying. But again, it's a Razor & Blade model. So there's some time, but we are working on other projects that hopefully we will be able to share with the market soon.
Barry Sine: And then finally, you mentioned that your product will -- the Smart Plug will reduce injuries. So I just yesterday installed a light fixture, and I cut my finger and almost fell off the ladder. So I can attest to what you're saying, your products can't become mandatory fast enough. That's all my questions.
Ran Kohen: Thank you. I wish you know how sad it is and the data that we have here. And one day, we'll publish it. It's really shocking. We think there's 500 million U.S. installations. And if you take the best example, let's say, in a perfect world that 99% of those installations go perfect. Unfortunately, it's not the case, but that leaves you from 500 to about 5 million that go wrong. And it doesn't mean that everything goes wrong, someone gets injured or dies, but I can tell you there's a significant number out of those that cutting your hand is really -- you're really in a good spot with this. Next time you'll be here, we'll show you a bit more data. But thank you, Barry, for your questions. Good questions. Thank you. Okay. And Pat McCann from NOBLE Capital. Please, Pat.
Patrick McCann: First, I was just curious with regard to the upcoming launch of the ceiling heater fan. I was wondering, do you have -- is there a level of visibility you already have in terms of billings for that, that you can expect in Q4 to kind of give you that visibility towards adjusted EBITDA breakeven in Q4? Or is it more just kind of an expectation of what will happen once they become available?
Ran Kohen: We have some visibility. But again, we want to land them here, and it's coming very soon. And we need to supply them in certain times, and we just -- that's our main focus. But I think today, in our press release, we did say that we anticipate things to start landing this month of November. So once they land, we have some ideas, but we want to be careful here. And it looks like we're landing also a variety of ceiling fans. So sometimes you have delays and everything comes together. I think that's what's happening here, we hope. And once we land them, we'll have a better picture, but there is some anticipation here.
Patrick McCann: Got it. And then my other question was just in terms of revenue mix looking ahead to 2026, do you have a sense of how you think things are going to play out in terms of the mix between consumer sales on the websites and so forth versus these builder partnerships starting to take a little more effect? And do you have any sense of a general mix between those 2 revenue types?
Ran Kohen: The mix is -- currently, our revenues for this year are mainly retail, but we anticipate a big growth on the B2B starting in 2026. We already see some signs of it, but major growth will start in 2026. And you're asking, I think the future of next year or the following year, we'll definitely see much more significant numbers coming from B2B and eventually, I think B2B. But you never know what retails because we have some partnerships we announced with some big box like Home Depot. So that can generate major numbers, too, but that can also generate major numbers with the B2B because Home Depot is growing that segment as well. So we can't really come with what's going to sell first, what segments are going to come, but we can definitely tell you that we are anticipating to grow significantly with the B2B segment.
Patrick McCann: Congrats on the quarter.
Ran Kohen: Thank you, Pat. And we have Jack Vander with us. Please, Jack.
Jack Vander Aarde: Okay. Great. I appreciate the update. Clearly, progress on all fronts. A lot of moving parts. You're tackling a lot. Good to hear. So where do I start? Rani, maybe just if you could touch on -- and maybe this is for Lenny as well. With the gross margin and the recent move with the websites and the new software to boost conversion rates. Is this -- what am I looking at here in the third quarter? This is a record gross margin historically on any quarter. Where does this go from here, I guess? Maybe there's some noise in the near term, but are we seeing -- are we going to see a big uptick in benefits? Was this just product mix? I mean it seems like you have all your next-gen products coming out, which I presume are higher margin and you're also boosting margins on the e-commerce front. So just love to get your thoughts where are we in the big picture of further upside there?
Ran Kohen: Yes. In the big picture, and maybe Lenny explained it nicely with the numbers practically. But the big picture, we -- the more we merge our own products, the higher gross margins we expect to see, and that's what's happening with our websites, including a combination of our new software that's going to kick in, I think we're quite optimistic to gross margins growing here. And it's like to blend more and more in our products into that. And obviously, for success many reasons. So the new software will definitely help on this front as well. So the mixture of our products into the market, the more we have our own products and the new software are both -- because the new products is also to the Builder segment. And with the software, it's to retail and to builders, we see that our test shows that we have an opportunity to significantly continue growing our gross margins. And what you see this quarter is really an example of what we said quarters before. Lenny, do you want to emphasize a bit more?
Leonard Sokolow: As we talked about, it's all about the margin blend. And as we land and sell more of our own product, even now on the website, e-commerce, we've got product we're landing Plug & Play ready. So that supports the margin blend increase. So then you've got even a different margin profile when we go through, let's say, in the direct to retail channel like a Home Depot. So we're not on the website itself, but we have a different margin profile. It's not blended with the e-commerce. So actually, as the e-commerce site grows, we're going to grow more B2B, which I think impact the top line and the margin as well. So we've got a lot of positive features, B2C, B2B with respect to margin profile. And we haven't yet experienced, although we're very focused on licensing, which has a margin potential of 85% or more. So that's to be realized in the future. Any other questions?
Jack Vander Aarde: Yes. I have one more. I appreciate all the color there, and that's very encouraging to hear. I guess 2 more questions. Just real quick, I wanted to ask because of the drama with the recent U.S. Government shutdown extended ongoing and now we're at the end of it here. But just what does this do in terms of your guys' progress in seeking the application for standardization of your product, you're ceiling receptacle. Is there any impact at all? Is this behind us? Just want to know if this has any implication but if you -- I know you only want to share so much information, but just like to hear an update there?
Ran Kohen: So generally, with all the tariffs, what it did is, and it's still -- it's not completely settled, but it looks like it will be, those are the signs. But that really made a lot of manufacturers much more creative, and they went over to Taiwan and Vietnam and Cambodia, we're dealing, and we announced, as you recall, a U.S. source. So actually, it gave us more options of product. And sometimes it's the same manufacturers that just open facilities in different countries and sometimes it's new manufacturers. So that actually -- hopefully, it ends this way. At the end of the day, it might be a benefit that opened more doors and more channels for us to import and collaborate with additional manufacturers. When it comes to the standardization, I think one thing that's very unique to our product, you can see that U.S. is now pushing -- the government is pushing for manufacturing in the U.S. So we can tell you that what we do when it comes to the plug and receptacle and even the smart boards can be done here, but not only can be done here, the biggest problem U.S. has with manufacturing is the labor cost is 5 to 10x compared to other countries. But when it comes to products like what we do, the receptacle, the plug or the smart boards and even the all-in-one smart platform can be fully automated production, and that's what we will do. And that opens the door to U.S. manufacturing. So we're definitely leveraging that. And I think a mandatory will significantly improve U.S. businesses and make America safe and maybe make America smart, too because really in our products, and it's a great question, standardization can be contingent on the U.S. manufacturing, and we actually can meet the criteria. For example, car manufacturers will take them 3 to 5 years until they get all the robots in place. But our technology is fully automated and manufacturing, and that's something that U.S. expects to grow. You saw probably that Apple is committed to do manufacturing here because laptops and phones, those industries can do to be manufactured today fully automated. So hopefully, we'll get closer to standardization, and that's going to open the door for more business here in the U.S. for us.
Jack Vander Aarde: Excellent. Just one more quick follow-up for clarity. The target kind of for -- I think you're trying to track towards 50 -- was it 50,000 homes by the end of this year. Is that -- can you just maybe tie that to any of the more specific larger projects like Smart City projects, the hotels, all of these moving parts? Are you going to receive orders in advance of the actual installation that are going to be -- is that 50,000 including any orders from any of these major project developments?
Ran Kohen: Not from the Miami City yet and not from the hotels yet, but I think there's a couple of products -- projects that we are starting to supply. So Yes. The end of the year is really around the corner. So in 45 days and the Builder segment, we are -- I think we are supplying some products, and we did supply already, but really looks like 2026 will start really to be a significant part of our business, the builder and B2B and hopefully, the Hotel segment, we're working on some interesting things there. And hopefully, we'll, as Steve said, be able to share some of it. Okay. Yes, we have Tom Hayes from ROTH. So please, Tom.
Thomas Hayes: Appreciate the time and appreciate all the color. I apologize if I missed it. I just want Rani, can you talk a little bit about the Middle East opportunity? I think one of your speakers discussed the opportunity there that the Middle East seems to be fast adopters of this changing technology. Just can you talk about, is it going to be the opportunity with commercial development, retail development or residential development? Just kind of broadly speaking, how do you kind of see that -- your new program working out?
Ran Kohen: So yes, Middle East, as many know, are really a lot of emphasis there on development of advanced technologies. And I think that, that's what really opened the door for us to sign that agreement with Global Venture Group that are expanding towards that region. And what they feel is that our technology can increase what they're doing, the value of what they're doing, provide better homes and hotels, but they also anticipate to collaborate with other builders there and introduce our product because as Khadija Mustafa mentioned earlier that, that region is really massive growth now. I think Saudi, in particular, people say that they want to be Dubai and [indiscernible] there. So that's what we hear from people and developers and the more advanced buildings want to be, I think the better fit we have into those areas. But we're here in South Florida and Austin, Texas. We see it locally, and we're talking to other developers here in that area and nationwide. And hopefully, we're working on some global -- additional global segments. So definitely, I think the world is trying to get more advanced when it comes to construction, smart home. And obviously, safety is always a significant item.
Thomas Hayes: I appreciate that. Maybe just one follow-up from me. On the Turbo Heater Fan, it sounds like it's shipping this month or certainly this quarter. Just was wondering, is it -- I'm assuming it's going to be selling through your websites, but is that also going to be a Home Depot item as well?
Ran Kohen: Yes, we anticipate that to be in our website, and we anticipate that to be in several accounts, and we believe Home Depot is going to be one of them, but we'll announce it when we can. We're doing -- we have a relationship, so that's public records. And our Razor & Blade model is the way to expand. And I think the Turbo Heater Fan can be a significant item for us once landed here. And hopefully, we'll have more accounts and retailers to announce the usage of it. We're working on this, and we hope to be able to announce more than Home Depot, but we still need to see. Yes, that concludes. Please go ahead.
Operator: That concludes the question-and-answer session. I would like to turn the conference back over to Rani Kohen for any closing remarks. Please go ahead.
Ran Kohen: Thank you, everyone, for joining our call. As you see -- as you saw, hopefully, that we're making some progress. And as Steve said, we're optimistic to continue that progress and talk to you soon in our next call and maybe before if we have interesting things to share. So thank you very much again, everyone. Looking forward to talking to you again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.